Operator: Good day, ladies and gentlemen, and welcome to TripAdvisor's First Quarter 2018 Earnings Conference Call. As a reminder, this conference call is being recorded. At this time, I would like to turn the conference call over to TripAdvisor's President of Investor Relations, Mr. Will Lyons. Please go ahead.
Will Lyons - TripAdvisor, Inc.: Thanks, Amanda. Good morning, everyone, and welcome to our call. Joining me today are Steve Kaufer, our CEO; and our CFO, Ernst Teunissen. Last night, after market close, we distributed and filed our Q1 2018 earnings release. We made available our prepared remarks on our Investor Relations website located at ir.tripadvisor.com. In the release, you will find reconciliations of non-GAAP financial measures to the most comparable GAAP financial measures discussed on this call. You will also find supplemental financial information, which includes certain non-GAAP financial measures discussed on this call, as well as other performance metrics. Before we begin, I'd like to remind you that this call may contain estimates and other forward-looking statements that represent management's views as of today, May 9, 2018. TripAdvisor disclaims any obligation to update these statements to reflect future events or circumstances. Please refer to our earnings release, as well as our filings with the SEC, for information concerning factors that could cause actual results to differ materially from these forward-looking statements. And now, I'll pass the call to Steve, who'll share a few thoughts before we open the call up to your questions.
Stephen Kaufer - TripAdvisor, Inc.: Thank you, Will, and good morning, everyone. We're pleased with our strong start to 2018. Steps we've taken to preserve near-term EBITDA are taking hold and we're progressing well on our long-term growth initiatives. We have a differentiated competitive position in the travel ecosystem with our global brand, our audience size, and the rich value proposition in the dreaming, planning, booking, in-destination and sharing phases of a trip. Our overall influence in travel continues to grow, as evidenced by our continued traffic growth and we're excited about our plans for the quarters and the years ahead. With that brief intro, Ernst and I are ready for your questions.
Operator: Thank you. Our first question comes from the line of Lloyd Walmsley of Deutsche Bank. Your line is open.
Lloyd Walmsley - Deutsche Bank Securities, Inc.: Hi. Thanks. I have a couple if I can. For starters, it looked like a lot of the upside to revenue largely came from desktop revenue per hotel shopper. Can you talk about maybe the extent to which this was driven by self-help on the back of the redesign last year versus just an improved bidding environment and kind of what you see into 2Q? And then secondly, on the direct marketing costs excluding TV, just wondering if you can explain how you guys were able to cut to that magnitude with such a limited impact on shopper growth? Was the spend that inefficient? Was it just the TV offset? How should we think about that growth, I guess, going forward in that direct spend ex-TV, particularly to the extent monetization improves and it changes the unit economics of some of those marketing channels? Thanks.
Ernst J. Teunissen - TripAdvisor, Inc.: Thank you, Lloyd. This is Ernst. Good morning. Yes, indeed. The overall auction performance within our core TA Hotel business that's where your question is zooming on. We had a strong start to the year there and it was generally ahead of our expectations. And so, let's go through the different components. On the RPS side, clearly the year-over-year performance was – on RPS was negative, mostly driven by the bid-downs we had seen much earlier in Q3 of last year. The auction stabilized into Q4, as we said on our previous call, and we saw further stabilization into Q1, in fact, into Q2. So, that was a headwind compared to the year-over-year, but not an incremental headwind to what we had seen at the back half of last year. And so that's a negative on our year-on-year RPS performance, as is the shift to mobile. But then we saw some positive in RPS as well which is, as you call, self-help. So, we are seeing positive results from both the initiatives we've undertaken on our site, as well as the incremental performance of our TV. And so, we see some good news there as well. So, it was a give-and-take on both elements. So, we were generally very pleased with our progress there. In terms of the reduction of sales and marketing, significant reduction of our direct online spend, but an increase of our TV spend. We spent $24 million on TV, which we didn't spend before. As you pointed out the shopper – flat shopper growth was pleasing to us in that environment. So, you see on the one hand an impact from the reduced spend on online marketing, we believe in positive impact from TV there as well. And so net-net, it worked out the way it did. But overall, we were pleased with that performance of our core hotel auction.
Lloyd Walmsley - Deutsche Bank Securities, Inc.: Okay, great. And if I can sneak one more, and maybe for Steve. If you look at the sponsored placement ads you guys are rolling out and like a very healthy market, for example, with a lot of hotel activity. how should we think about how many impressions per shopper you guys get and kind of click-through rates? And maybe stepping back where do you see that new ad unit in three years as a percent of hotel revenue if the product's successful?
Stephen Kaufer - TripAdvisor, Inc.: Well, thanks Lloyd, a great question. I love talking about sponsor placements, because it is a new product for us. It's appealing to all hoteliers and all restaurateurs globally. It takes advantage of the fact that there is and always has been a lot of traffic on our site, a lot of travelers who aren't yet ready to make a purchase, but TripAdvisor is being used to influence where in fact they're going to stay. And so, for our hoteliers and restaurateurs to be able to influence where they're going to stay, where they're going to eat well prior to the purchase is a great benefit for our clients, and obviously helpful to the travelers. You'll see sponsored placements appear on most every page, certainly, what we call list pages, I'm looking for a hotel in the city as well as in the cross-sells when I'm looking at the particular hotel and it may not be right for me, and so I want to find out something – I want to look for some different property nearby, which is a different option. And so, all of those are good candidates for sponsored placements, and just like any ad product as we build out more clients with hoteliers, we're going to be getting much better at presenting the right hotel featured in that sponsor listing. So, the click-through rate on that hotel will go up. So, I think it's fairly safe to say we have plenty of traffic on the site given the couple hundred million of hotel shoppers. The product is equally applicable on the phone and on desktop. So, it's not subject to kind of a headwind challenge of any shift to mobile and it's particularly valuable for our widest range of clients not just our big ones, the OTAs, but also individual properties that want to make sure that they're discovered. In terms of modeling out where it could be in three years we, obviously, think it could be quite large. But we're just at the beginning. We just – for hotels we just launched it at the very end of last year early quarters. It's not particularly meaningful in anything right now, but I do want you to – I mean, I think you put question and I'm glad you're looking at it because it is a sign of where we think the business has wonderful growth potential, independent of kind of everything else that we're doing in the hotel category.
Lloyd Walmsley - Deutsche Bank Securities, Inc.: Thanks, guys.
Stephen Kaufer - TripAdvisor, Inc.: Thank you.
Operator: Thank you. Our next question comes from the line of Justin Patterson of Raymond James. Your line is open.
Justin T. Patterson - Raymond James & Associates, Inc.: Great. Thank you very much. Could you talk about the factors that drove the acceleration in the Non-Hotel segment in more detail? I could see you had some solid supply growth in there, but curious on any more detail there. And then secondly, could you talk about the factors behind the second half improvement and click based revenue? Is that simply just a function of easing comps, or are there some other operational factors you can point us to? Thank you.
Stephen Kaufer - TripAdvisor, Inc.: Sure. This is Steve, so I'll take the Non-Hotel drivers. So primarily as we've shared, experiences in restaurants are other bigger rolling segments of that. For experiences, we think the supply growth is awesome, and we look forward to continue. There's so many more attractions, tours, operators' experiences that can come online and take advantage of the demand that we already have, and that's a pretty important lens to view this through because as we bring on supply as we see our supply growth numbers, we're immediately able to turn that into revenue without necessarily the corresponding jump in that type of demand on the Trip site, because we already have the demand. We're just able to monetize it a lot better when we have transaction capabilities. So, you see growth across our Viator point-of-sales, across our pure white label attractions or experience channels, and of course, the TripAdvisor engine comes along faster than almost everything else. We're also particularly excited, obviously, not for Q1 but going forward with our latest acquisition in the space, which adds our – Vulcan, our software-as-a-service business software for tour operators and experiences to help us deliver really a better traveler experience by having more inventory available, better availability to last minute, more seamless, frictionless stability to open your phone when you're in destination and all of that the good news that can come from having some direct relationships with the operators. Restaurants, it's more of the same, which is a good thing to be able to talk about as the improved seated diners, we continue to grow supply and kind of business is doing well in all of the markets that we're in.
Ernst J. Teunissen - TripAdvisor, Inc.: To your second question about the – so the second half in the auction versus first half and CPCs, so we will in the second half lap some of the bid downs we saw in the second half of last year. So that is going to be a favorable year-over-year comparison versus the front half of the year. Some other things to consider there too is we are pulling back on marketing, as you know, and that will continue throughout the year. So that is not necessarily a help later in the year. And then we called out FX as well as one of the components of the year-over-year performance of the dollar against the euro, and the pound is less of a factor at the back half of the year if currencies don't change either. But you're absolutely correct in the statement that last year in Q3 we saw the most significant bid downs in our auction, and we will lap that when we get to the second half of the year.
Justin T. Patterson - Raymond James & Associates, Inc.: Got it. Thank you, Steve. Thank you, Ernst.
Operator: Thank you. Our next question comes from the line of Deepak Mathivanan of Barclays. Your line is open.
Deepak Mathivanan - Barclays Capital, Inc.: Hey, guys. Congrats on a good quarter. Two questions for me. So first, revenue per hotel shopper on mobile was up 20% again in 1Q. But you are going to see some tougher comps starting in 2Q due to the improvements you made last year. Can we expect monetization improvements on mobile to continue as we go forward? And then second question, one of your metasearch peers called out bid downs by OTAs again in 2Q. And kind of all OTAs are saying continuous efforts to improve efficiencies. However, you noted an improving trend in 2Q. Can you discuss whether you're seeing any bidding activity changes on the platform by OTAs? If not, can you maybe explain why that might be the case? Thanks.
Stephen Kaufer - TripAdvisor, Inc.: Super. Happy to take the first one, and then I'll let Ernst take the second. Yes, we've been making many quarters' worth of mobile rev per shopper improvements. And yes, we expect to continue to see that in part because all of our ongoing optimizations to improve conversion on the site are either led by mobile or a mobile experience as part of the initial release. So, we have teams that we have for a while that work on improvements, and those obviously get rolled out on all of our platforms. We fully expect that to continue. I will point out, sort of part two of that is more travelers are getting used to buying more things on their phone, independent of TripAdvisor's action, that tendency to book means there's more qualified traffic on that device. More qualified traffic means more downstream bookings for our clients, which means they're able to pay more for the traffic. So, I would expect that to just be an ongoing secular tailwind for us in the category, leading me to my confidence that our continued – our RPS will continue to go up on the phone.
Ernst J. Teunissen - TripAdvisor, Inc.: And Deepak, to your second question about the behavior in our core hotel auction, as we said in our prepared remarks, we saw a real stability in our auction environment in Q1. We saw the stability starting in Q4 as we had called out three months ago. We saw a continuation of that in Q1. We saw a continuation of that into Q2. So we saw the environment as largely stable. We continue to work on making our traffic as attractive as possible for our partners through the experience for our users on our site by continuing to focus on the downstream impact that the traffic has for our partners, and we will continue to work on that throughout the year as it comes. But stability was basically what we have seen really since Q4.
Deepak Mathivanan - Barclays Capital, Inc.: Great. Thanks, Steve. Thanks, Ernst.
Stephen Kaufer - TripAdvisor, Inc.: Thank you.
Operator: Thank you. Your next question is from the line of Mike Olson of Piper Jaffray. Your line is open.
Michael J. Olson - Piper Jaffray & Co.: Hey, good morning. I have one question on Non-Hotel. That segment's becoming more material than I think many people realize, and it looks like it's probably going to be 25% to 30% of revenue this year. And you talked about in the past mid-20s growth. Do you still feel that's the case over the next few quarters? And then, what are you seeing from a competitive standpoint for experiences in restaurants in the markets that you're operating? And then lastly, what could the long-term margins of that business look like? Thanks.
Ernst J. Teunissen - TripAdvisor, Inc.: Yes. So Non-Hotel growth was strongest this quarter, a strong performance. It's really a continuation of many of the trends in our restaurant and experience businesses, in particular, that we have seen throughout. There's a bit of a mix shift going on of course towards those faster growing parts of the Non-Hotel segment, attractions and restaurants. But our outlook for the year remains as it was before. It's robust continued growth there that is going to, in our view, be similar to what we've seen in quarters past and last year. And so good performance, good start to the year, and looking forward to continued growth there. In terms of the long-term margin profile, all of those businesses have attractive margin profiles. They have good take rates. They have cost structures that are very scalable, and we've seen some of that scalability of the cost structure really come through in margin over the last 18 months. And so, we are confident that we can reach high margins there. We said in the past that, for the whole business over the long term we expect to go to mid-to-high 20s% EBITDA margins and these Non-Hotel businesses are going to be a significant contributor to that. So, we see the most very healthy P&Ls.
Stephen Kaufer - TripAdvisor, Inc.: And then from a competitive perspective, I think our biggest competitor is simply the travelers saying I'm going to buy it when I get there. I'm going to call up, to make a reservation. It's just the lack of awareness that I can and should buy these experiences online. And I think we have tremendous tailwinds to, just as hotels experience decades for us to go. Well, of course, it's now natural to find what you're looking for to shop around, get the best price, and the best experience online. And we happen to have – TripAdvisor Media Group happens to have a huge amount of demand that people doing that now. And then going offline to book, because we didn't have the booking capabilities. So, again, it's tapping into the demand that we have. And while we certainly have competitors, who are selling experiences online, it's much left, us versus them, in my view than growing the total size of the pie that we've been – that is booked online that's the huge opportunity over the next several years.
Michael J. Olson - Piper Jaffray & Co.: Thank you.
Operator: Thank you. Our next question is from the line of Mark Mahaney of RBC Capital Markets. Your line is open.
Mark Mahaney - RBC Capital Markets LLC: Two questions please. You talked about increasing your attractions inventory. I think there was something like 80% growth. Could you be – could you provide some details on what inventory specifically is rising, in particular types of attractions or experiences inventory that's growing faster than others? And then, in terms of the outlook for the year, what would it take to have the Hotel segment revenue actually grow in 2018? What would have to change in the back half of the year in order for that to actually flip and actually start growing again? Thanks.
Stephen Kaufer - TripAdvisor, Inc.: Sure. Thanks, Mark. I'll take the first and Ernst, will take the second. On inventory types that, we're really benefiting from the marketplace. So, we have a great view into where the demand is for travelers on TripAdvisor, specifically, and so we target our sales reps, our account managers to go fill that demand as much as possible with the opportunity to book the experience in advance. A lot of the growth is coming from the growing awareness of TripAdvisor as and Viator is a big alternative demand channel for the owners. So, they're simply coming in and signing up. So, we have a whole bunch of tech investments under the covers that are all around making that process to get more supply and continue that level of 80+% growth rate for many years to come, because there's so much out there, because we have the demand and because we always believe in providing the most choice possible for our travelers.
Ernst J. Teunissen - TripAdvisor, Inc.: And to your second part of the question, Mark. In terms of levers in the Hotel business and so looking towards the back half of the year, so the things that we are working on internally are the improvements to our site to the overall experience for our users on the hotel and thereby the improvement for our partners of our traffic. We have a number of initiatives that we're rolling out. We've talked about some of them in this quarter both on the desktop and the mobile side and we'll continue to work on that and expecting to see continued progress. On the TV side, so we're investing more this year than last year $100 million to $130 million. We are seeing nice traction on TV. So, it's still not a ROI positive spend in quarter, but we see the improvements to the returns there and we're hopeful that we can continue to see that and confident that we can get that to the long-term profitability. So, we're looking at that and the success of those campaigns and our ability to tweak those as we go forward. So, those are some of the biggest drivers that we are focused on internally and continue to work on and to the extent that we're successful there will impact our success in the back half on revenue.
Mark Mahaney - RBC Capital Markets LLC: Thank you, Ernst. Thank you, Steve.
Operator: Thank you. Our next question is from the line of Kevin Kopelman of Cowen & Company. Your line is open.
Kevin Kopelman - Cowen & Co. LLC: Thanks. I had a question on attractions. Can you talk more about the bookings trends, and what kind of growth are you seeing in attractions bookings, and has that also accelerated as you accelerated supply? And then can you also talk more specifically about how the Bokun deal will be integrated and benefit the attractions business? And will that deal have any impact on the financials this year? Thanks.
Ernst J. Teunissen - TripAdvisor, Inc.: So, on the first question. Yes. We saw – to start at the high level in Non-Hotel, impressive overall growth in our Non-Hotel segment 36% and as you can imagine, our experiences business being a large part of that business being a very important contributor to that. So that kind of revenue growth is created by continued bookings growth as well. So, we saw continued nice performance on bookings, and particularly which is something, we're excited about internally. The growth on our TA side is very impressive and ahead of the kind of revenue growth – overall revenue growth for Non-Hotel would imply significantly ahead of that. And so that's exciting to us because that ultimately strategically for us long-term that platform, the TA platform is the most scalable platform for us in our experiences business. We have so many users already on our experiences pages on TA and able to continue penetration there, continue conversion there, is a huge opportunity for us and also economically a very attractive opportunity because we have so much traffic already on our site that we don't have to additionally acquire. Steve, do you want to tackle the Bokun question?
Stephen Kaufer - TripAdvisor, Inc.: Yeah. So with this new company, we're able to help bring a lot more inventory online because so many of the experience companies still aren't – still don't have any software that helps them run their business that can also deliver the online bookability. So, point one for Bokun is it's a great company. We welcome them all into the fold. Point two, the software that they have really should be and we're making available globally to bring the inventory online so that travelers on trip, or on the Viator, on our third-party channels can find it and book it. And that's just a win-win all around. And with the Bokun part of the family, we are able to make that easily done for attraction owners. Make it very affordable for attraction owners. And that, obviously, helps our entire ecosystem. 2018 financial impact, Ernst, do you want to comment on meaningfulness of it?
Ernst J. Teunissen - TripAdvisor, Inc.: Yes, don't expect to too big an impact on the financials this year of Bokun, it's an acquisition that we're going to integrate and then accelerate organically. And it's not going to be material to our numbers for this year.
Kevin Kopelman - Cowen & Co. LLC: Okay. Thanks. And then a quick follow-up. Does it make sense to start talking about attractions on the TV ads? And then when do you expect to see ad spend for Non-Hotel start to grow again? Thank you.
Stephen Kaufer - TripAdvisor, Inc.: So, that's a great question. I want to tip my hat – tip my hat – tip my hands on when we would be doing that. But I will reiterate that part of our differentiation and part of the awareness of TripAdvisor in the travel ecosystem is the fact that we have much more than just hotels. To be clear, we love hotels and we expect that to return to the top-line growth. And we're showing great progress in the system there. But part of all of TripAdvisor is helping you on the entire trip and we want to make sure everyone knows about that. And so, one should reasonably assume that we will grow our marketing of attractions and other things in ways that work for our other businesses, such as TV. So, I'm not giving you a particular timeframe but certainly setting the expectation that it's more a matter of when not if.
Kevin Kopelman - Cowen & Co. LLC: Thanks, Steve. Thanks, Ernst.
Stephen Kaufer - TripAdvisor, Inc.: Thank you.
Operator: Thank you. Our next question is from the line of Douglas Anmuth of JPMorgan. Your line is open.
Dae K. Lee - JPMorgan Securities LLC: Good morning. This is Dae Lee on for Doug. First question, how do you plan to balance the message around best price, with your value proposition and user reviews as you ramp your brand campaign? And could you share any early feedbacks in new markets you've entered and what you're seeing there? And as a follow-up, could you provide more details around what you are doing to building more holistic end-user experience that you mentioned on the letter?
Stephen Kaufer - TripAdvisor, Inc.: Sure. So, we have tremendous brand awareness in almost every country around the world on the topic of reviews, of trusted community, always use TripAdvisor to plan the trip. But a surprising number of people didn't understand that we also have one of the best price comparison engines out there. So if you're looking not only for the best hotel but that hotel at the best price, if you're looking to compare, you know, do your own individual trade-offs between, well, am I willing to spend an extra $10 for a slightly better hotel or not? TripAdvisor is the perfect place to do it. And that message is the core message that we're running our TV ads with. And it's working. We're driving increased price awareness of TripAdvisor is a place to find the best price to compare your deals. And as you know, we did that last year. We've seen our positive results. We've increased our spend. So that piece of the strategy is working, and we've found no indications or we haven't seen any indications that it's hurting our brand or consumer awareness as the trusted review site that we started at. I'm not saying that that'll be the only message going forward, but I'm certainly saying it's working for us now. Details on the holistic end-to-end user experience. Well, if you think about what TripAdvisor offers today to so many people, they might come in starting their travel plan with a flight search, move to a hotel search, think about what they want to do in destination, and of course, they need to eat. And some of that is during the trip, some of that is well in advance, some of it is armchair traveling. We have so many users that of course, it's touching all segments. The end-to-end experience that we talked about you see in some of our travel planning tools that are on the site now. And then we really want to highlight so that – and this is an ongoing kind of work stream. It's been ongoing, it will continue, because it's a core differentiated feature of TripAdvisor that you can do all of this planning, and it's really hard/impossible to do that anywhere else. So we have a business unit that we call Core Experience dedicated to providing the common user experience across everything on the TripAdvisor point-of-sale and then working on some of the newer functionality that we haven't launched yet, we haven't talked about yet, that will kind of help drive an experience that, as we say internally, is more than the sum of the individual shopping experience, it's more than the sum of the parts. But I'll have to keep you in suspense on that for a bit longer.
Dae K. Lee - JPMorgan Securities LLC: Thank you.
Operator: Thank you. Our next question comes from the line of Naved Khan of SunTrust. Your line is open.
Naved Khan - SunTrust Robinson Humphrey, Inc.: Yeah. Hi. Thanks a lot. Can you give us a sense of the magnitude of contribution you're getting from the sponsored products? And just to clarify, is this revenue stream showing up under the display line, or is it a part of other lines as well? And then, on GDPR, can you sort of give us your commentary on what we should expect, if at all, in terms of impact from the rollout of this regulation in Europe?
Ernst J. Teunissen - TripAdvisor, Inc.: Hi, Naved. I'll take the first part of the question. It is – the sponsor placements are part of the line, revenue line called display and subscriptions, so that second revenue line within our Hotel segment. It is not particularly material. It was a contributor to the growth in that revenue line in this quarter year-over-year. But it's not, in the grand scheme of things, not a large part of our revenue yet. We have, as Steve was talking before, we have ambitious plans for the long-term. So it will become more and more meaningful as we progress, but in our Q1 results, not a particularly material number.
Stephen Kaufer - TripAdvisor, Inc.: And then the GDPR, we've obviously, like most companies, been aware of it for a quite some time, so we don't expect a meaningful impact on our business at this point.
Naved Khan - SunTrust Robinson Humphrey, Inc.: Thank you, Ernst. Thank you, Steve.
Operator: Thank you. Your next question is from the line of Brad Erickson of KeyBanc. Your line is open.
Brad Erickson - KeyBanc Capital Markets, Inc.: Hi. Thanks. Just a couple follow-ups. So the ad spending optimization is clearly having a nice impact on the bottom line. How do you balance that relative to the shopper growth? Or I guess to ask it a little differently, is it safe to say that sustainable hotel shopper growth is absolutely contemplated in your revenue target of double-digit growth? And, I guess, do you think some of the product enhancements can allow for that, even if you throttle ad spend to some degree and shopper growth remains a little bit relatively more depressed?
Stephen Kaufer - TripAdvisor, Inc.: Yeah. So, I do think returning to hotel shopper growth is in the cards. Again, we've throttled some of our performance spend, which helps us drive better quality traffic to the site and therefore, kind of more downstream bookings, the core thing that we care the most about. But we've also ramped up our television spend. Why? Because that will drive more shoppers and more qualified shoppers to the site. So, I still reiterate we're certainly looking for growth in hotel shoppers and overall hotel revenue as we've done our changes. The things I was referring to a few moments ago with the Core Ex business unit and some of the improvements that are coming obviously aim to build out a more complete travel experience, which in turn get more people engaged in the funnel, drives more membership, which drives more overall usage of our product. That by definition helps grow hotel shoppers. As large as we are, we feel there's still plenty of room to have more people trying to use TripAdvisor to plan their trip.
Brad Erickson - KeyBanc Capital Markets, Inc.: Got it. And then, I think you've been getting some downstream data for a while from some of your customers. Can you just kind of talk about how you're utilizing that and what changes you've made as a result of seeing that data, is that have anything to do with some of this performance to ad optimization? Thanks.
Stephen Kaufer - TripAdvisor, Inc.: Yes, insightful question. So, we have been receiving performance data and to be clear, it's just the signal from our partners that says – many of our partners not all, that the clicks that we send downstream have turned into bookings on their side, because all of our clients are looking to sell that hotel room. And it's less about raw traffic to them as bookings that we drive, as they give us the signal that says, hey click A is more valuable than click B. We can in turn change our traffic acquisition mix and our on-site behavior of how we're pulling travelers to the shopping experience to make sure they're more qualified. I'll give you a very simple example of the latter. It's relatively easy for us on our side if we wanted to just say essentially click here to partner A, click here to partner B, very much, very loud without first helping the traveler understand whether this is the right hotel for them. We generate more clicks, which in the old model would have generated more revenue for us, but it wasn't necessarily generating more bookings. And so, by making sure the traveler on our site is more qualified. They understand what they're looking to purchase before we send them over to our client site. That increases the bookings, and of course if our bookings increase on the client side, our CPCs hold will go up.
Ernst J. Teunissen - TripAdvisor, Inc.: And to connect the dot with the marketing spend, so what that means if we have better insight into the downstream booking performance, we found that some of our marketing spend that looked good from an ROS perspective, on a click-based looked less good on a downstream booking behavior and that is the kind of spend that we're addressing in the reduction of marketing spend, which is an improvement for profitability and a lesser – it is a pressure on revenue and pressure on the number of bookings, but particularly on profitability, it's a bit positive.
Brad Erickson - KeyBanc Capital Markets, Inc.: Got it. That's great. Thanks.
Operator: Thank you. Our next question is from the line of Peter Stabler of Wells Fargo Securities. Your line is open.
Robert James Coolbrith - Wells Fargo Securities LLC: Good morning. This is Rob on the call for Peter. On vacation rentals, wondering if you give a sense of how that business is doing, maybe how fast Non-Hotel is growing, excluding vacation rentals at this point? And then also a follow-up on core experience. I was just wondering, if there's been a benefit there already. Is there anything that you're testing, and if so, what kind of lift are you seeing in cross-sell or product attach rates, or wherever the relevant metrics may be? Thank you.
Ernst J. Teunissen - TripAdvisor, Inc.: I'll start with the first part of the question on the rentals business. The rentals business is a stable business for us. It is not one of the drivers of growth in Non-Hotel, that's really driven by our experiences and our restaurant business. It's a good business for us with good margins. We benefit not only from the various brands that we have in rentals, but we benefit from making all that supply available on our TripAdvisor site as well, so it's a good business for us. But as we think strategically about which areas of the business we are investing to grow, it is focused on our restaurants and experiences business.
Stephen Kaufer - TripAdvisor, Inc.: And then when we kind of look at some of the Core Ex improvements, again, some of it is just very foundational. You'd have to look carefully to see it on the site. It's like becoming more consistent across all of our different verticals. Some of it is just – we're putting a smarter cross-sell or smarter offer in front of a user when a hotel doesn't have availability. We don't want to lose them, so let's make some other recommendations and let's make them better recommendations, and we see meaningful wins there. I'd paint it as they're all relatively small individual wins that happen several times a month, and they just add up over the course of the year. And that's part of what we call our revenue optimization and our site optimization. And it's across, again, the site, the app, our CRM, our emails, our notifications, all the things that we have with respect to a traveler who's on a journey and making sure we're sending them the right message at the right time given that we're more than a one product company.
Robert James Coolbrith - Wells Fargo Securities LLC: Great. Thank you.
Operator: Thank you. Our next question comes from the line of James Lee of Mizuho Securities. Your line is open.
James Lee - Mizuho Securities USA LLC: Thanks for taking my question. Is it fair to say that the improvement in RPS is also due to your performance advertising optimization strategy where you're focusing more on retargeting as opposed to prospecting? And also, maybe at what point would you start focusing on prospecting as you start – maybe potentially start growing hotel shoppers? Or is the TV advertising the way you prefer to do it? And lastly for TV advertising ramping up, how should we think about the new market you will be investing this year? Thanks.
Stephen Kaufer - TripAdvisor, Inc.: Sure. I'll try to hit all of those. So, of course, retargeting is a part of our performance-based advertising, but it's been that way for a while. So, I'd say the – there is RPS improvement because we're looking closer at the downstream bookings signal versus the straight click count when we're buying our advertising, as Ernst was talking about. But I wouldn't say retargeting was a much bigger or a much smaller component than it has been. The TV ramping in our new markets, because we saw success when we launched last year in our top six, we're obviously continuing and spending more there but also expanding into an additional set of markets, and we expect a similar growth curve in terms of the TV return on ad spend. So the curves are all what you'd expect. The newer markets will take a little longer to build. And right now, we're receiving some of the benefit of having started the TV almost a year ago now.
James Lee - Mizuho Securities USA LLC: Steve, can you also talk about the most important benefit on the Bokun acquisition? Does it allow you to increase your instant bookable attraction listings a lot faster than you would have otherwise do it yourself? I'm just curious if that would be one of the major benefit in terms of ramping up the success and help you to drive more bookings on attractions specifically? Thanks.
Stephen Kaufer - TripAdvisor, Inc.: Well I think of it as just one of the things – one of the many things that we're doing to invest heavily in our Experiences business unit. So, we're making kind of onboarding supply from any partner, direct from the attraction or through any other aggregator, much easier. That's an initiative. We've got our international initiatives, making sure that our tours and attractions can be booked in as many languages as possible. We have our ongoing conversion optimizations both on TripAdvisor and on Viator to help make the – to help the traveler find what they're looking for faster and easier and book it. And then we have the longer-term supply initiative of enabling through Bokun thousands of additional suppliers who will eventually go online, but through this technology can ideally go online a lot sooner. And of course, if they're going online, it's helping them fill their tours and it helps TripAdvisor monetize those great experiences, and the consumer wins because whether you're booking in advance or in-destination, they have that level of convenience. And so again, there's a number of players in that particular space helping attractions go online and we feel we can accelerate that overall trend, which will help us and help everyone else in the attractions category.
James Lee - Mizuho Securities USA LLC: Great. Thanks.
Operator: Thank you. Our next question comes from the line of Jed Kelly of Oppenheimer. Your line is open.
Jed Kelly - Oppenheimer & Co., Inc.: Great. Thanks for taking my question. Just two. How should we expect the Non-Hotel direct marketing to grow this year versus revenue? And then as experiences becomes a larger percentage of Non-Hotel, should we expect similar seasonality patterns, or how should we view seasonality in the Non-Hotel segment?
Ernst J. Teunissen - TripAdvisor, Inc.: Yeah. So, our marketing in Non-Hotel is increasing. It's significantly higher than last year, and not a significant break with how we approached marketing for Non-Hotel last year. So not much to call out there in terms of a difference of this year versus last year. In terms of seasonality, so Non-Hotel is a more seasonal business than our Hotel business, so you have seen that in past years, which is, impacts both the revenue, but particularly the profit profile of the business. It is a more – it's a little bit more seasonal, driven by our vacation rental business in particular, but also our attractions businesses is seasonal. The restaurant business itself is a little bit seasonal, but not as much as the other two businesses.
Jed Kelly - Oppenheimer & Co., Inc.: Thank you.
Operator: Thank you. Our next question comes from the line of Mark May of Citi. Your line is open.
Zachary Morrissey - Citigroup Global Markets, Inc.: Hi. This is Zach actually on for Mark. Two questions. Just could you talk about your plans for further investments in the attractions space? Obviously, Bokun last month. But I guess, kind of, what opportunities are you seeing there? And then secondly, it appears that some of the larger OTAs are continuing to rationalize their online direct marketing spend. I guess, do you have a sense of, kind of, when that will start to stabilize? Thanks.
Ernst J. Teunissen - TripAdvisor, Inc.: Yeah. Thank you, Zach. In terms of the areas where we invest on the experiences side, the attractions side, you saw the graph in our prepared remarks about our bookable supply. So, there's a big focus on making sure that more and more supply is bookable on our site. Both, the Viator site, but particularly also the TripAdvisor site. So that's a big focus area, making sure we have more and more supply to put in front of the large audience that we have already. We have incremental investments this year around our international, non-english speaking sites, making sure that we have more revenue coming from non-english speaking sites, which is where our business still skews and where we see a big opportunity going forward. Obviously, continuing to make investment in the underlying product and in our marketing into it as well. And Bokun is another example of opening up a new area there. So, there's plenty to invest in on the experience side. As we've said before, the fact that we've improved our margins in Non-Hotel is not a reflection of us holding back on investing on the experiences side. We are going full speed ahead. And the business is fully focused on driving revenue growth for the long term. And so that's where our focus is. Then shifting – your question then shifting to our Hotel business and particularly to our core auction business again, in terms of OTA behavior and rationalizing performance spend. As we've said, in previous quarters, yes, we did see some of that in the back half of last year. As we said on this call and in our prepared remarks, we saw stabilization that happened in Q4. We saw further stabilization into this quarter and into Q2. So not much more to report from our end on that front.
Zachary Morrissey - Citigroup Global Markets, Inc.: Thank you.
Operator: Thank you. Your next question is from the line of Brian Fitzgerald of Jefferies. Your line is open.
Brian P. Fitzgerald - Jefferies LLC: Thanks, guys. Revenue per hotel shopper continues to improve nicely, but there still remains a fundamental gap there. There's reasons why any dynamic to call out with respect to kind of convergence or closure of that gap? Or maybe, how big was a gap a year ago relative to today? Thanks.
Ernst J. Teunissen - TripAdvisor, Inc.: Yeah. So, I assume you're particularly referring to the gap desktop to mobile. And we have been closing that gap. So, we called out the 20%-plus RPS improvement on mobile this quarter year-over-year, where desktop, clearly, was down. And so, we are narrowing the gap. The gap over the last year or so had narrowed by about 10 points. So, we are now closer to the 40% monetization of mobile to desktop, and a year ago we were close to 30%. And so that number is ticking up every time, and we continue to work hard on making sure that gap narrows, as the gap narrows, obviously, the impact that the shift to mobile has on our RPS starts to abate, and that is an important economic part of our model. So, as we look forward into this year and beyond, we're looking at lapping the – the bid-downs very important point at the second – at the back half of the year and then the crossover point at some point where the mobile shift is actually not going to be as much of a headwind as it has been in the past. And so, we are very focused on that, you've seen the improvement that we made on the mobile side. We continue to make improvements there and see some runway ahead of us.
Brian P. Fitzgerald - Jefferies LLC: Great. Thanks, Ernst.
Operator: Thank you. Our next question comes from the line of Heath Terry of Goldman Sachs. Your line is open. And pardon me, your phone might be on mute. And I'm showing no further questions. At this time, I'd like to turn the conference back over to Mr. Steve Kaufer, CEO, for closing remarks.
Stephen Kaufer - TripAdvisor, Inc.: Well, great. Thanks again, everyone, for joining the call. 2018 is off to a good start, and I want to thank all TripAdvisor Media Group employees around the world for their continued hard work. I look forward to updating you on our progress in the next few months. Thanks, everyone.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program. You may now disconnect. Everyone, have a great day.